Operator: Welcome everyone to the Bragg Gaming Group Third Quarter 2023 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Yaniv Spielberg, Chief Strategy Officer for Bragg Gaming Group. Yaniv, please go ahead.
Yaniv Spielberg: Thank you, operator. Good morning, everyone and thank you for joining our third quarter 2023 earnings conference call. I am Yaniv Spielberg, Chief Strategy Officer for Bragg Gaming Group. I’ll be hosting today’s call alongside my colleague, CEO, Matevz Mazij, who will comment on our third quarter performance; and Ronen Kannor, our CFO, will review and discuss our third quarter financial results. If you have not already done so, you can follow our earnings call presentation from our website at investors.bragg.group, that’s investors with an s, dot bragg, dot group, in the section called latest presentation. On this call, we will review Bragg’s financial and operating results for the third quarter of 2023. And following our prepared remarks, we’ll open the conference call to a question-and-answer period. I’ll start the call with some brief cautionary remarks regarding certain statements that may be made on this call. Certain statements made on this conference call and our responses to various questions may constitute forward-looking information or future-oriented financial information within the meaning of applicable securities laws. Statements about expected growth, prospective results, strategic outlooks and financial and operational expectations, opportunities and projections rely on a number of assumptions concerning future events, including market and economic conditions, business prospects or opportunities, future plans and strategies, technological developments and anticipated events, trends and regulatory changes that may affect the corporation and its subsidiaries and their respective customers and industries. While we believe these assumptions to be reasonable, they are subject to a number of risks, uncertainties and other factors, many of which are outside the company’s control and which could cause the actual results, performance or achievement of the company to be materially different. There can be no assurance that these assumptions or estimates are accurate or that any of these expectations will prove accurate. For a complete discussion of these factors, please refer to our recently filed press release and other publicly available disclosure. With that behind us, I’d like to turn the call to our CEO, Matevz. Matevz?
Matevz Mazij: Good morning, everyone. I’m Matevz Mazij, I’m Chairman and CEO of Bragg and I’m going to run through our operational highlights from the quarter, then I’ll hand over to our CFO, Ronen Kannor, who will take you through the financials. Afterwards, I’ll take a few of the points in a little more detail, wrapping up with our outlook and summary and then Ronen and I will be happy to take your questions. Turning now to Slide 4. I want to run through some of the key points of third quarter, the quarter in which I was appointed CEO. I have a long history at Bragg. I originally founded ORYX Gaming back in 2012, running the company until I sold ORYX to Bragg in 2018. As a part of that process, I also became Bragg’s largest shareholder. I continued as CEO of ORYX until in 2021, I stepped back from operations and joined Bragg’s Board of Directors. As a director, I have strongly supported our U.S. acquisitions, Wild Streak Gaming and Spin Games and was involved in developing our U.S. expansion strategy. I was subsequently appointed Chair of the Board earlier this year and then CEO at the end of August of this year. By appointing me as CEO, the Board was seeking to align and streamline the interest of Bragg shareholders with company operations and to unlock shareholder value, which is something I aim to do. So I’m delighted to be back in reporting on another quarter in which we continue to make good progress on our goals. After Ronen has presented the financials, I’m going to talk a little about our extended agreement with BetCity which will see us continue supplying our PAM content and content aggregation to BetCity into 2025. And I’m also going to reiterate and expand a little on the key pillars of Bragg strategy of how we aim to take the business to the next level and to become a premier content and technology supplier to the growing global iGaming industry. Our content roadmap is going very strong. We are on track to launch 68 exclusive game titles globally this year, putting our output among the top tier of online casino game developers on the market. Almost half of these titles are from our proprietary Bragg Studios brands, generating higher gross profit for the business and we intend to continue at this pace. During the third quarter, we were pleased to see two of our powered by Bragg titles into the top 25 new slot rankings published by [indiscernible]. The success of Devil’s Lock by Blueberi and Ultra Rush Golden Steed from Incredible Technologies is a testament to our strategy in the U.S. of partnering with successful and familiar land-based slot brands and bringing them online exclusively available in the market via Bragg. Our U.S. rollout of our newest content and technology continues with recent launches with local market leaders, BetMGM in New Jersey and with Panduit, Michigan and Connecticut, and we’re pleased to be able to leverage our slot production capabilities to build and release a bespoke game for Caesars Digital with Lady Luck Casino Egyptian Magic, which is now available exclusively to players of Caesars Pilots online casino in Michigan and New Jersey. Our ability and capacity to build bespoke game titles is an additional differentiation point where we can deliver added value to our customers and build long-term growth. In other markets, we continue to roll out our content with new customers. In Italy, we have launched with top two operators in the market, Latin Snaitech. In Ontario, we went live with Bet365. And in the UK, we launched games with Unibet, which is one of the Kindred’s flagship brands. With that, I’m now going to hand over to Ronen to present our third quarter financials. Ronen?
Ronen Kannor: Thank you, Matevz, and good morning, everyone. I’ll begin my comments on Slide 6. As Matevz indicated earlier, the third quarter of 2023 was another positive step in our digital journey. We continue to execute against our mission and strategic plan, and we can sell it in our financial and operational results. In the third quarter, total revenue were up by 8% year-over-year to €22.6 million, continuing our growth momentum since the fourth quarter of 2021. The growth was mainly derived organically to our existing customer base, launch in financial year ‘21 and ‘22, in particular, the PAM and turnkey solution customers in the Netherlands, together with content offering and a solid revenue performance from the Wild Streak gaming to our customers. Third quarter, however, showed a slight sequential drop of 8.5% as a result of bad failure revised extended commercial terms. From an operational KPI perspective, cultural wagering generated by gains and content offered by the group during the quarter was up by 24.6% from the same period in the previous year to €5.7 billion versus €4.6 billion in the same period last year. As you can see from the wagering chart on the right hand side, Bragg’s ongoing positive momentum from the fourth quarter of 2021, which demonstrates our ability to transform and diversify our operations. Gross profit for the quarter increased by 13.5% to €11.9 million, with gross profit margin slightly increased to 52.5% from 50% in the same period last year. The gross profit is primarily the result of increased revenue performance in all content products, while recording slightly lower paired managed services revenue, which also as a result of bad city renegotiated extended commercial terms. Adjusted EBITDA for the quarter was up by 70.5% to €3.8 million, with adjusted EBITDA margin reaching 16.9%, an improvement of 620 basis points from the same period in the previous year. The change in margins mainly as a result of scale in revenue while maintaining control investment in salaries and subcontractors and other operational costs as part of the company’s strategy to expand software development, product and senior management functions. Operating loss increased by €0.5 million to €2.1 million, mainly as a result of a one-off termination of an employment contract and a loss from deferred consideration. We are pleased with the current trading, and we’re reiterating our 2023 revenue guidance range of €95 million to €97 million and adjusted EBITDA range of €15.5 million to €16.5 million. As you can see on Slide 7, the gross profit margin continued to show a growing momentum during the fourth quarter of 2021 due to the change in Bragg product mix. We continue to execute against our mission and strategic plan, and we are scaling up our business in line with both our revenue growth and the continued movement in product mix as indicated on the right-hand side of the slide. Gross profit increased by 13.5% to €11.9 million, with margin increasing from previous year by 250 basis points to 52.5%. The third quarter revenue growth year-over-year was driven mainly by the Dutch PAM and Turnkey customers’ outperformance, together with the improvement of our content offering. In the third quarter, content revenue segment offering, which is including aggregated third-party exclusive third-party and proprietary content increased to €17.9 million and represented 79.4% of total revenue as opposed to 69.9% of previous year, highlighting Bragg’s execution of the content strategy. Proprietary content development is positively progressing both in the U.S. and EU markets by increasing both distribution and games performance. And as Matevz indicated, we have recently marked another key milestone with our recent launch of our newest tech stack in New Jersey with BetMGM. As indicated in the previous quarters, we are targeting gross profit margin improvements to exceed 60% by full year 2025, mainly by increasing the proportion of revenue which comes from proprietary content, PAM and turnkey solutions. Moving to Slide 8. Adjusted EBITDA amounted to €3.8 million against an operating loss of €2.1 million. The GAAP was driven by the following noncash and exceptional items. Depreciation and amortization, the increase in intangible amortization is part of the Spin Games acquisition in June 2022, increased level of investment in software development and a change in the useful life of customer relationship. Share-based payments, the charge for awards granted to senior management during the period, composed of DSOs, RECs and options. During the period, one-off charge of €0.5 million was incurred relating to discounted contractual relationship of an employee. Exceptional costs, mainly associated with the discounted contractor relationship of employee in the total value of €0.6 million. And gain on remeasurement of the first consideration is mainly associated with the acquisition of Spin Games in June 2022 on the total outstanding deferred liability that was adjusted to reflect the change in our current fair value. Moving to Slide 9. As you can see on the slide, we ended the third quarter with cash balance of €7.9 million compared to €11.3 million of December 31, 2022, with outstanding liability of $5.5 million of convertible security. During the third quarter and post quarter end, the company made cash repayment of $2.5 million, leaving an outstanding balance of $4.5 million as of today’s date. We expect to continue exercising our rights to pay down the existing convertible security, subject to ongoing management assessments. Our net working capital at the end of September 2023 is €6.3 million, which is excluding the first consideration and convertible debt. This compared to €6.6 million at the beginning of the year. From a cash flow perspective, for the 9 months ended September 30, 2023, a total of €6.2 million generated from operating activities with underlying performance reaching €10.2 million, offset by negative movement in working capital and income tax of €4 million. A total of €6.6 million invested in intangible assets mainly related to the capitalization of software development costs in the period and a total of €2.6 million used in finance activities, which predominantly related to the repayment of loans in relation to the convertible security in the total of €2.3 million. Looking forward, management are projecting a positive free cash flow from operations, while there’s no CapEx or technology debt required in the business. In addition, management is confident that there are no current financing or debt requirement needs for the business. With that, I will hand over back to Matevz to continue our business and operational activities.
Matevz Mazij: Thank you, Ronen. As a recently appointed CEO and with this is my first time leading our earnings call, I want to remind everyone of the great business that we’ve built and on the exciting future we have ahead of us. Bragg is an award-winning supplier in a growing multibillion-dollar iGaming market. We have over 450 employees in 7 offices across North America, Europe and in India. We are licensed or certified to offer iGaming products in over 25 regulated jurisdictions globally, including the largest markets in the U.S. and Europe such as New Jersey, Pennsylvania, Michigan, the UK and Italy. Our customers’ number over 200 and include names such as BetMGM, DraftKings, Fanduel in the U.S. and in Penn SuperBet and Flutter in Europe. In view of recent M&A activity in the iGaming space, I believe that at Bragg, we have built something very unique in the market. There are very few companies in the space that are able to offer what we can, which includes our full product suite of content, content aggregation, sportsbook delivery, PAM, promotional tools and managed services. With this product suite, we’re uniquely positioned to be able to deliver full turnkey iGaming solution in regulated markets and in a landscape where more and more markets are on the cusp of regulation. With that in mind, I want to take a few minutes to refine and reflect on Bragg strategy, which I haven’t fundamentally changed since coming in as CEO, but which we have refined and expanded, and we now plan to accelerate. Firstly, our proprietary and exclusive games roadmap has been a renewed focus for us since we integrated in ‘21. Bragg studios or in-house studios, which now include Wild Streak gaming, Spin Games and ORYX Gaming, as well as two new studios we launched last year, Atomic Slot Lab and Indigo Magic. Games from Bragg sudios, which are also built on our own technology and distributed through our own network generate close to 100% gross profit margin for us. So these are an important part of how we will deliver the overall gross profit and adjusted EBITDA margin targets that we have set for ourselves that Ronen mentioned earlier. In a moment, on the next slide, I’ll show you how we are doing in terms of roadmap delivery for our Bragg studio content. The rest of our exclusive casino games portfolio is made up of games from our power by Bragg partners, such as Blueberi, Incredible Technologies, Gamut, King Show Games and many others. These gains differentiate our games portfolio and include big names from both the land-based and online spaces, games that are in demand and which are available online only to customers of Bragg. So we are leveraging our increasing portfolio of exclusive games to build brand recognition in North America, Europe and Latin America. And the size of our portfolio and our production capabilities mean that we can offer locally adapted games titles in each of these markets. As you saw from the recent game we built for Caesars Digital, Lady Luck Casino Egyptian Magic, we are also in a position of strength when it comes to our ability to deliver in-demand custom and exclusive content for our partners. We will also continue to grow our content distribution network in regulated markets. This means focusing on our relationship with Tier 1 and Tier 2 operators who offer scale in multiple markets, and we have content for multiple markets to match. We want to continue to grow in large regulated markets where Bragg online casino content is still underrepresented. And these markets offer plenty of scope for growth. We are clearly focused on content rollouts in the United States, but markets such as UK, Switzerland, Italy, Poland and Ontario are also important to our content delivery growth plans. We are closely watching regulatory developments as many markets, which currently have no legal framework for online casino or those which currently have restrictive frameworks are reviewing their laws with a trend towards more jurisdictions opening up to regulate iGaming in the near future as well as watching for the next states to adopt online casino in the United States, we are well positioned to enter or expand in Latin American markets and newly regulated European markets. As these new markets regulate, we will explore all opportunities not just for our content, but also for our full product suite, including PAM and content aggregation and I’ll talk more about it in a moment. A key differentiated product that we developed is FUZE. This is our multi-award winning promotions platform that allows operators to run promotions such as pre-rounds, tournaments, missions and quest to gamify and reward players and these work across both casino, lottery and sports betting products. All Bragg content customers, whether for Bragg Studios, powered by Bragg, aggregated content or sports betting product that we deliver already have access to FUSE. And FUSE driven campaigns resulted in significantly more traffic, better conversion rates, better retention rates and higher lifetime value, which is beneficial both to our customers and to us. And we are now focused on working together with our customers to roll out with more FUSE driven promotions, and we’re now also able to offer FUSE as a stand-alone promotion platform for both casino and sportsbook. And we have already integrated our first customers under this model. As we continue to develop FUSE with more in-demand features coming soon, we’re also excited to be developing this proprietary functionality to create differentiated and unique casino content categories, with an aim of creating a niche for Bragg content in a crowded marketplace. We at Bragg are extremely proud of our full product suite, which includes our proprietary and exclusive content, aggregated content, sportsbook delivery, PAM, managed services, FUSE promotional tools and data and reporting products. We have over 200 customers, including some of the biggest names in the United States, Europe and globally. Upselling our promotional tools, aggregation services, time and turnkey services to existing content customers is a key growth channel for us. Likewise, we are working with our integrated sportsbook partners to create compelling new PAM and full turnkey propositions with the aim of expanding our platform business to new brands and new markets. And as always, we continue to invest in our product to refine, improve and to explore opportunities in new jurisdictions. Our strategy is focused on expanding recurring profitability through our culture of continuous improvement with an eye on opportunities for increased automation and lower cost to serve. This way, we will continue to expand our profit pools and gross profit and adjusted EBITDA margins. So to conclude, Bragg’s long-term ambition is to maximize shareholder value by becoming a premier iGaming content and technology provider. Moving to Slide 13. We extended the agreement with Betent BV, where we have agreed to continue supplying our PAM, that’s player account management platform and our content and content aggregation to its flagship brand in the Netherlands, BetCity into 2025. We partnered with BetCity to launch the brand back in October 2021 when the newly regulated Dutch market opened. And we’re proud of our part in helping BetCity become one of the leading online sports betting and casino brands in the Netherlands today, and we’re extremely delighted to continue to build on this success with them. As a part of the extension deal, we will integrate several new third-party content suppliers for the Dutch market, further strengthening our localized content portfolio, but we will also continue to deliver content from our proprietary Bragg Studios, from our Powered by Bragg partners, and we will continue to be the exclusive content aggregator for BedCity via our product delivery technology for the duration of the agreement. Moving to Slide 14. On Slide 14, I want to give you an update on how we’re doing as a developer and distributor of exclusive online casino games. We are on track to release 68 games titles globally for a full year of 2023, putting our output up there with the biggest game studios on the market. Proprietary and exclusive game production has been a renewed focus for us in the past 2 years. So I’m very proud of the development capacity we have built and of the quality of the games that we are releasing. As well as ramping up our online casino games production, we are maintaining a strategic balance with approximately half of the titles coming from our own Bragg Studios, which generate high margins for us, and half of it coming from our Powered by Bragg partners, bringing diversity, richness and in-demand studio brand store portfolio. As you can see, in the second half of 2023, our content releases significantly increased and we plan to continue at this cadence into 2024 and beyond. So in summary, our third quarter revenue rose 8% year-over-year to €22.6 million. Gross profit was €11.9 million, and adjusted EBITDA was up 7.5% year-over-year to €3.8 million. We have extended our agreement with BetCity to continue as their exclusive PAM content and content aggregation partner into 2025. We have our strategic pillars in place that will underpin our growth going forward and which will drive shareholder value. And our exclusive content production road map is firing on all cylinders with 68 online casino titles on track to be launched in the full year of 2023, including 30 from our proprietary Bragg Studios. Current trading is in line with our expectations, so we reiterate our guidance for 2023 of €95 million to €97 million in revenues and €15.5 million to €16.5 million in adjusted EBITDA. The midpoint of these ranges represent 13.3% revenue growth and 32% adjusted EBITDA growth compared to our 2022 performance. I want to thank you all very much for attending this presentation today. And now Ronen and I will be happy to take any questions you might have.
Operator: Thank you. [Operator Instructions] It looks like our first call is – caller is Gianluca Tucci with Haywood Securities. Gianluca, please go ahead.
Gianluca Tucci: Hi, good morning, guys. And congrats on another good quarter. I’m just wondering if we can start off on the news from earlier this week, I think you did a good job of providing color, Matz. But the extension, like does it take you through ‘25 or at the start of ‘25? And I’m curious if you can speak to how the company expects the revenue like mix to shift from this one customer over the duration of this extension agreement.
Matevz Mazij: So the exact details of the commercial terms remain obviously subject to the parties of eyes only as their sensitive commercial terms. We – by negotiating this deal, we focused on keeping the PAM and aggregation deal, and it’s in place until September 2025. And we reduced managed services resources already has in-house. The – moving forward, we are going to work very aggressively on decreasing the exposure to one of our top clients, and we are going to work very aggressively in the direction of growing our content – proprietary content portfolio of clients, the Tier 1s that we have signed recently and the increasing number of aggregation and PAM clients where we believe that we have a very good opportunity to leverage that position and grow our proprietary and Powered by Bragg content revenue with them.
Gianluca Tucci: Great color. Thanks, Matz. And so on your commercial efforts, with all the recent Tier 1s that have been signed over the last quarter or so, I’m just wondering how you’re thinking about 2024 at this point from a growth perspective, combined with your cadence of Games comment accelerating, it appears that 2024 could be even growthier than ‘23 at this point? Just curious for your comment on that.
Matevz Mazij: Sure. So we now have agreements with most of the Tier 1 operators, but they don’t represent top customers for Bragg. Our plan in 2024 and ‘25, as well as to grow our wallet share with all of these existing content-only operators as well as existing PAM and aggregation operators as they present a great revenue growth opportunity for our proprietary Powered by Bragg content. We are also looking to establish ourselves in markets that we’re in, but we are underrepresented. And finally, newly regulated markets in LatAm and Europe are a great opportunity for our PAM aggregation engagement and content products with these Tier 1 operators that we already signed with and new operators that are coming out of these newly regulated landscapes.
Gianluca Tucci: Okay. That’s great. And my last question here. As it pertains to the American markets in the U.S. particularly, are you doing anything differently? Or is it pretty much the same kind of execution plans from a growth perspective in the U.S.
Matevz Mazij: Well, as discussed in the presentation, in 2023, we will eventually roll out 69 titles, both in the U.S. and Europe. And preliminary data suggests that the content performs well. Bragg is now live in the four largest U.S. gaming market being Pennsylvania, New Jersey, Michigan and Connecticut with its proprietary content. And we continue to roll out with more operator brands in these states, further expanding its reach. To answer your question, we launched our content portfolio in Pennsylvania with Rush Street Interactive and have also launched content with Fani in Michigan and Connecticut and Winbet in New Jersey, and we expect this trend to continue into 2024 and 2025. I would like to also say that we’re very excited about the U.S., and I want to remind everyone that our business is extremely successful in Europe and that we’re one of the largest content aggregators and leading PAM providers in Europe, and we expect to leverage our expertise coming into the U.S. and become a leading content provider in iGaming partners to global operators and U.S.-only operators, obviously, such as Bet365 and others.
Gianluca Tucci: Okay. Thank you for the color and congrats again on the quarter. a good work.
Matevz Mazij: Thank you.
Operator: Thank you, Gianluca. And our next question comes from the line of Jordan Bender with JMP Securities. Jordan, please go ahead.
Jordan Bender: Great. Thanks for taking my questions. You actually just mentioned Rush Street in your prior comments. They are the new operator starting here soon in the State of Delaware to run the online platforms. I was wondering what does that kind of mean? And can you kind of frame the revenue or potential revenue opportunity for the company over the course of ‘24 and ‘25. Thank you.
Ronen Kannor: So it’s probably too early to discuss the revenue opportunities for ‘25. We believe that Rush Street is obviously a great operator that they have an extremely good team, an extremely good product. And I believe that they’re going to use all of that to significantly grow the GGR in the state of Delaware, and we plan to be very high on their list of content providers for that state. Exactly what the revenues are going to be, it’s probably too early to discuss.
Jordan Bender: Understood. And then in terms of your player and wager growth, nice growth in the quarter, but from a wager per player perspective, you’re seeing a little bit of a deceleration year-to-date and especially here in the third quarter. Is that just a function of mix? Or is there something in the underlying consumer just spending less? Thank you.
Ronen Kannor: Yes. So this is mainly connected to the seasonality. Third quarter is usually slower than first and second quarter.
Jordan Bender: I guess from a growth perspective, first half down roughly 5% in the third quarter, it’s down about 24%. Is that – is there anything kind of in that?
Ronen Kannor: I wouldn’t say there’s anything in that any underlying reason that we would be able to identify.
Jordan Bender: Understood. Thank you very much.
Operator: And our next question comes from the line of Adhir Kadve with Eight Capital. Adhir, please go ahead.
Adhir Kadve: Thans, guys. Thanks for taking my question. Matz, congrats on the role. Looking forward to working with you. I just wanted to talk about some of the European markets, specifically the UK and Italian markets. You’ve been in these markets for some time, some meaningful wins. How are you thinking about those two markets, just given how large they are and how meaningful they could be for your revenues moving forward.
Matevz Mazij: Yes. So we were – we started with these markets anywhere between 24 and 12 months ago. And we were using this time to integrate with clients. These are obviously very heavily regulated markets. We believe that they are a great opportunity for our content only proposition, and we believe that we were largely underrepresented in those markets. And we feel that these markets represent a great growth opportunity for our content in ‘24 and ‘25.
Adhir Kadve: Okay. Excellent. And then just the content in different European markets, you’ve obviously had success. How easily transferable are those markets from, say, the Netherlands into the UK and then into Germany? And just like how does that all work? And do you find that there’s minimal heavy lifting or investment that needs to go into launching this content in different markets?
Matevz Mazij: We are integrated with most of the clients that are operating across these markets. So the heavy lifting has been done in the past. And what we need to do now is we need to use our data and build local custom content that is going to fit the requirements of these markets and effectively place the content, position the content and promote the content with these operators and use our engagement tools that will allow us to create certain unique and specific categories within the content portfolio to be able to compete with existing content providers in these markets. I’m very positive about the progress that we have made over the last 12 months. And I believe that we have a great future ahead of us with the two proprietary studios and road maps that have been put in place with these two proprietary studios and Powered by Bragg Studios that are developing content for these local markets in Europe.
Adhir Kadve: Excellent. Thanks guys. 
Matevz Mazij: Thank you.
Ronen Kannor: Thanks, Adhir.
Operator: [Operator Instructions] And our next question comes from the line of Daniel Rosenberg. Daniel, please go ahead.
Daniel Rosenberg: Hi, Matevz, Ronen. My first question comes around cost controls and automation. So we’re seeing some of the benefits take place here in the quarter, but just wondering how much more leverage do you have in terms of implementing other automations into your operations that could keep yielding strong results.
Matevz Mazij: Ronen, why don’t to take this?
Ronen Kannor: Sure. Dan, good morning. Good morning, everyone. So we implemented at the beginning of last year, we implemented at the beginning of this year. So we implemented quite a lot of cost control. Some of the areas that only focus on growth and what we actually need to grow and to diversify in different markets to different products and of course, the new content we’re producing. There’s – of course, there’s a lot of room for optimization. It’s from every single department. But I would have to say for our business perspective today, the majority of the work is automated. The majority of the process is automated. We are becoming more efficient in the way we’re operating, the way we actually build in games, we’re investing in our technology. We actually have, at this stage, I would say we’re very well positioned to further growth with the same team and the same operation we have today. So yes, there’s a lot of growth. There’s a lot of opportunities for optimization. But I think we’re already there. I think what we’re seeing right now, what we will be seeing right now is more commercial and more revenue coming from the same team from the same functionality and infrastructure we have right now.
Daniel Rosenberg: Thanks for that context. My second question is around the BetCity contract. I was just wondering it’s nice to see the risk contained here. Is the final outcome in line with what you were expecting as you started negotiations? And are there any other opportunities to work with BetCity that came out of those negotiations?
Matevz Mazij: Yes. So our original agreement had a 5-year term with a 12-month termination notice. So we’re happy that we managed to secure the extension of the deal and it’s obviously in line with our expectation. BetCity and Entain as a group are a key partner of ours, and we’re proud of what we have achieved together. We’ve been having a very constructive dialogue over the recent past, and we hope to be able to power the BetCity brand and Entain Group as a global powerhouse going forward. We are, right now, very focused on making sure that BetCity continues to effectively utilize our products and continues to grow. And I think it’s positive that that we have secured the longevity of the deal, and we have now a clear path where we have continued support of Entain strategic initiatives in the market. Entain as a, like I said, a global operator presents a large opportunity for us as a content provider for us as an aggregation solution provider and for us as an engagement solution provider. So we will work together with Entain BetCity to implement these solutions into their B2C network across all different jurisdictions in 2024 and obviously, 2025 and hopefully achieve similar success as with BetCity.
Daniel Rosenberg: Okay. Thanks for that. Lastly, just a quick one for Ron. On the working capital, free cash flow, you guys are expecting to do – continue to improve and grow. Just wondering if there’s any color you could give in terms of how working capital ebbs and flows in the coming quarters if you require capital to scale just from a working capital perspective?
Ronen Kannor: Yes. So as you’ve seen in the last 9 months of operation, the working capital relatively remained the same, 6.3 million, about 6.6, dropped to 6.3 of course, with high adjusted EBITDA compared to previous year. So we believe that in the next couple of – I would say, the next 9 months, we’ll be able to generate relatively the same type of profit. We are definitely funding our investment in our software development cost, which I think is going to be relatively the same. I don’t think there’s a big expectation to be much higher than that. We can serve the debt. That’s what we’re doing. And I think, excluding the changes in working capital in the last 9-month period, we definitely conserve that and the working capital would probably will improve with everything we’re doing right now. So I’m quite confident that it will be slightly higher than what we think right now compared to compared to what we did so far. And we will improve that the €3 million, €4 million in the next couple of months on time. That’s on the basis that we’re going to secure the debt and we’re paying on a regular basis to avoid any dilution to the shareholders.
Daniel Rosenberg: Thanks for taking my questions. I will pass it on.
Operator: And our final question today comes from the line of Sid Dilawari with Cormark Securities. Sid, please go ahead.
Sid Dilawari: Hey, good morning, guys. Thanks for taking my questions. Firstly, just on the Ontario market, maybe if we can speak about the general landscape in Q3. You’re now live with Bet365, Rush Interactive and maybe a couple of others. It seems like there was a minimal sequential growth on the number of live operators. And just given that dynamic, do you see your future growth in Ontario from penetrating further with current operators or from new operators coming back to the market.
Matevz Mazij: So we are seeing future growth coming from existing operators. Like I said, we are going to grow our wallet share with these existing content-only operators. And I believe they present a revenue growth opportunity as well as new operators coming into the market. Ontario has been a market that is growing slower than expected, but I believe that we are going to be able to increase our presence in the market through existing and new operators like I said.
Sid Dilawari: Okay. Thanks. And then just going back to the PAM extension agreement with Entain and BetCity. Nice to see obviously. Your PAM market share in the Netherlands also remains resilient. Any commentary you can provide on the competitive landscape there? And if you have opportunities now with more localized content to penetrate further in that market with more operators other than Betcity.
Matevz Mazij: Yes, we are – we have established ourselves as a leading PAM solution provider in this market. We believe that we have more opportunities to grow as the PAM and aggregation solution provider in this market. And we also believe that we’re going to be able to leverage our position as a leading PAM solution provider and aggregation solution provider in the market to grow our wallet share, like I said, in the market. And I think that Netherlands has been a great market for us in the last – over the last 2 years. And we believe that we are going to be able to maintain our position in the market moving forward.
Sid Dilawari: Okay. And then just one last one for me. Just on the M&A landscape here. We’ve seen some industry consolidation over the last few weeks, as you also alluded to in your prepared remarks. Do you see any opportunities in the near-term to be acquisitive at accretive multiples? And if so, would you focus be primarily on gaming studios or somewhere else?
Matevz Mazij: Ronen, do you want to take this question?
Ronen Kannor: Yes, sure. Thanks, and thanks for the question. We can see from recent M&A activity in the market that Obviously, capital markets are undervaluing companies, successful companies, and we’ve seen recent examples in the acquisition of Aristocrat of Aspire and obviously, the recent acquisition that was announced yesterday between Segasami and GaN, companies that are trading at much lesser valuations than what companies are willing to pay for in terms of cash. And that, in our opinion, is the true value of companies, and I think that is not in the capital markets today. That’s on the landscape in general. But in terms of in we have – we have anything that we need in-house in terms of the content studios, in terms of the distribution agreements and especially the technology. We’re looking to continue to grow the business and expand within our customers and to new customers and in new jurisdictions. And if there’s an opportunity on us to be acquisitive, then of course, we’ll look into it. And of course, as a public company, there are a lot of other opportunities to be in the M&A space, and that’s something that we are open to and always are on the lookout for.
Sid Dilawari: I’m sorry. So in terms of potential targets would they primarily be focused towards content producer as in gaming studios or somewhere else?
Ronen Kannor: Mostly content. I mean we have all the tools in-house that we need in terms of the technology, the distribution and the licensing. And so if we were to be acquisitive, it would be about content and differentiated content that is localized to the jurisdictions where we operate in and what the jurisdictions that we want to operate in.
Sid Dilawari: Okay. Thanks for the clarity. I’ll pass line.
Operator: Thanks, Sid, and thanks to all our callers with questions today. And with that, I will now turn the call back over to Yaniv Spielberg for closing remarks. Yaniv, the floor is yours.
Yaniv Spielberg: Guys, Thanks everybody for joining our call. Thank you for being interested in Bragg. We’re closing another very successful quarter, and we look forward to hosting you on our next quarterly call. Have a great day, everyone.
Operator: And ladies and gentlemen, that does conclude today’s call. Thank you all for joining, and you may now disconnect.